Paul Keel: Good morning, everyone, and thank you, for joining us today. I'll open with a short recap of fiscal 2023 before turning it over to Clare to walk us through the numbers in greater detail. I'll then come back and update you on our progress with respect to strategy and operations. And as always, we should have plenty of time at the end for Q&A. Okay. The overall headline is that fiscal 2023 was a record year for Smiths, record organic revenue growth of nearly 12% and record EPS growth of nearly 40%. We've now posted nine consecutive quarters of accelerating growth and year-on-year progress against all five of our medium-term financial commitments. In terms of execution, we are also seeing good progress with operating margins up 20 basis points, and ROCE up 150. Operating cash conversion improved 6 points over last year to 86%. Our Smiths Excellence System now fully vetted across the enterprise is scaling nicely and proving central to this improvement. We further extended our strong sustainability track record in fiscal 2023 as well by publishing our first sustainability report and delivering another year of sustained improvement across all of our key ESG metrics. With respect to people, engagement climbed to new levels in FY2023, and a number of factors support this, including further improvement in safety and the launch of our Smiths Foundation, where we committed an initial £10 million to support charitable causes linked to our purpose of improving our world through smarter engineering. As many of you are now familiar, the Smiths value engine connects the three components of our success; our purpose, our strengths, and our priorities. Our purpose has been an unwavering guide for us for over 170 years, enabling Smiths to develop distinctive and compelling strengths, including world-class engineering, leading market positions, global presence, and a robust financial framework. We direct these strengths against the three critical priorities you see in blue; growth, execution, and people. Growth powers the engine. Execution translates this growth into cash and our people make all the progress possible. As you can see on Slide 6, our progress in fiscal 2023 was encouraging. Our 12% organic revenue growth was nicely balanced between volume and price. As mentioned, we grew EPS nearly 40%, and ROCE was up 150 basis points and is now within our target range. We expanded margins by 20 basis points on top of an 80 bps gain in fiscal 2022. Our margin performance reflects scaling investment to support continued growth in the future, and cash conversion came in at 86%, up 6 points from last year as we are now bringing safety stocks back down to more normalized levels as supply chains continue to stabilize. In short, we are pleased with our progress in fiscal 2023 and expect continued momentum here in fiscal 2024. As a result, we are guiding to 4% to 6% organic revenue growth this year, along with continued margin expansion consistent with the medium-term targets we introduced at our FY2022 Capital Markets event. With that as an overview, I'll now turn it over to Clare to walk us through the details.
Clare Scherrer: Thank you, Paul. As Paul mentioned, organic revenue growth for the year was a record 11.6%. FX added 5.7 percentage points and acquisitions of further percentage point, bringing reported growth to 18.3%. We grew operating profit to just over $0.5 billion, up 12.7% organically. As guided, we delivered moderate margin progression of 20 basis points, while at the same time investing for growth. This contributed to record EPS growth of 39.6%. EPS growth was also supported by the share buyback program we initiated to return proceeds from the sale of Medical. We took several actions to improve our working capital position, resulting in full-year operating cash conversion of 86%, a 6 percentage point increase versus last year, and a significant improvement on our first half cash conversion. ROCE was up 150 basis points to 15.7% now within our target range and reflecting our increased profitability. And finally, in line with our progressive dividend policy, we are recommending a final dividend of 28.7p, resulting in a total full-year dividend of 41.6p a 5% increase. Turning to the results in more detail and starting with our record organic revenue growth. We continue to prove our ability to consistently deliver growth now having grown revenue on an organic basis for nine consecutive quarters. For FY2023, this growth came equally from price and volume, demonstrating strong demand and pricing power across our markets. Growth in Q4 began to moderate toward our medium-term target range as we saw softening in some of our end markets and in moderating pricing environment as we enter FY2024. We converted revenue growth into 12.7% organic profit growth, margin expansion of 90 basis points was driven by increased volume across most of the group, pricing more than offsetting inflation contributed to further 40 basis points expansion. Benefits from the Smiths Excellence System together with our savings projects, expanded margin a further 80 basis points and translational FX added 10 basis points. Given the strong demand, we invested a 100 basis points of margin back into the business in a number of areas, including capacity expansion, new product launches, and rewarding our people for the step up in performance. And we saw a mixed headwind, firstly in Flex-Tek from product mix and secondly, in detection as record demand for our latest product innovations led to strong lower margin OE growth. Importantly, this OE growth today will support future growth and higher margin aftermarket over the medium-term. In summary, we delivered 16.5% operating margin, a 20 basis point expansion in line with our guidance for moderate margin improvement. EPS growth was a record 39.6%. The primary driver was strong organic profit growth, which contributed over a third of the growth. Share buyback contributed another third, and the remainder was driven by positive FX, a lower effective tax rate and lower interest expense having repaid our $400 million bond in February of 2022 and our 600 million euro bond in April of this year. Turning to cash. We made strong year-on-year progress on cash conversion, expanding by 6 percentage points to 86%, a significant improvement on the first half position of 63%. This progress reflects a structured approach to working capital management through our Smiths Excellence System, and largely mitigates the impact of investments we made in the first half to secure supply. The target investments we have made put us in a good position to meet customer demand and deliver against the strong order books in John Crane and Smiths Detection. We increased CapEx to £81 million, representing 1.6x depreciation, which included investing in new product development and expanding capacity to service high customer demand. Our medium-term target is over 100% cash conversion and we have a strong track record of delivering this historically. As supply chains have largely normalized and our SES programs continue to scale, we expect further improvement next year. Finally, operating cash performance translated to £178 million of free cash flow, a year-on-year increase of 37%. Now let's turn to divisional performance. Starting with John Crane, which delivered a record organic revenue growth of 15.2%, an operating profit of 25.2%. Revenue surpassed a £1billion for the first time. John Crane delivered growth on all fronts, aftermarket and original equipment, energy and industrial end markets and in all geographic regions. This revenue growth translated into record profit growth and a 170 basis points of margin expansion. Higher volumes and supply chain easing drove good operational gearing and John Crane's pricing discipline offset the impact of cost inflation. We achieved this margin progression while also continuing to invest in growth, positioning us well to support record demand and our 15% order growth. John Crane has seen increasing demand as a result of energy security concerns and is also playing an increasingly important role in helping our customers improve efficiency and reduce emissions from their operations. In our energy business, John Crane continues to expand its energy transition pipeline, participating in important carbon capture and hydrogen projects such as a significant offshore CCS project in Malaysia, which Paul will talk about. In Industrial, we also won multiple contracts including in paper and life sciences. Next to Smiths Detection, which delivered strong organic revenue growth of 16.4% with growth in all segments. We are pleased with the performance across the business and a notable highlight is the increase in other security systems. We saw original equipment growth continue to accelerate ahead of our strong aftermarket growth as our latest innovations including our CT airport checkpoint scanners have gained real traction with customers across the globe. While this OE growth has a near-term impact on margin, it maintains and extends our installed base and secures an attractive aftermarket for us that will contribute to margin expansion over the medium-term. Operating profit growth was strong at 15.4% and contributed to operating margin expansion of 10 basis points as benefits from volume, SES and savings projects more than offset the higher contribution of lower margin OE. Our excellent customer relationships and strong multi-year order book give us confidence in good revenue growth next year, which due to the expected timing of order delivery will be more weighted toward the second half. Our expected growth is underpinned by momentum in aviation, including winds in the UK and Japan. And in other security systems, we've had very strong order intake across defense for both current and future chem-bio detection requirements, including for the U.S. DoD on their next generation program. Now moving to Flex-Tek, which grew 10.1% organically with growth in both industrial and aerospace. We continue to enjoy strong demand in aerospace in the second half, supported by increasing new aircraft builds and lower growth in industrial reflects a slowing U.S. HVAC market. Organic operating profit growth for the year was 3.4%, driven by strong revenue and partly offset by higher costs including capacity expansion in Houston to support growth investment in new product development and a mix impact from strong industrial tubing sales. These factors together resulted in a strong operating margin of 19.4%, 120 basis points lower than the record margin in FY2022. We made great progress on new product development with Flex-Tek successfully expanding into new adjacencies by providing super heating elements for the world's first green steel manufacturing facility. To complement this organic growth, last month we acquired a U.S.-based company Heating & Cooling Products. This acquisition will broaden Flex-Tek's customer base and product portfolio. Looking to FY2024, we expect growth to be weighted to the second half, reflecting the exceptional first half performance of this year and an expected second half recovery in U.S. HVAC. Coming to Smiths Interconnect. Organic revenue contracted 2.8% this year following the record FY2022 performance with softness in some end markets and delays on some large scale programs. Organic operating profit declined 11.9%, resulting in operating margin contraction of 200 basis points. This reflects tough prior year comparators, lower volume, and continued R&D investment. Despite the challenging second half, we continue to expand our new product pipeline and we progress the integration of our Plastronics acquisition, further strengthening our product portfolio. Orders in FY2023 were down 17% and we expect contraction into FY2024. This reflects a continued slowdown in the semiconductor market as well as signs of slowing in connectors. Connectors contributes around half of interconnects revenue and performed well in FY2023. Importantly, we remain confident in the medium-term outlook for our markets and this business. Now turning to our capital allocation framework. Our net debt-to-EBITDA ratio is 0.7x giving us significant strength and flexibility. We returned £350 million to shareholders in FY2023 including £143 million in dividends and £207 million through the share buyback program we initiated to return proceeds from the sale of Medical. We also repaid our 600 million euro bond and refinanced our revolving credit facility for a further five years and on very attractive terms. We prioritized organic growth and accordingly, we continue to invest in R&D and CapEx this year. We supplement organic growth with strategic acquisitions such as Plastronics and Smiths Interconnect in the first half and HCP and Flex-Tek just last month. These acquisitions along with Royal Metal, which we acquired in 2021, demonstrate a strong and disciplined track record. We will maintain this disciplined approach as we actively look for further additions to complement our portfolio. We also return surplus capital to shareholders and we are recommending a 5% increase in our final dividend in line with our progressive dividend policy. To summarize, we are well positioned to deliver our growth strategy and to continue to deliver against our medium-term financial targets. Our performance in FY2023 was a record and we entered the new fiscal year with positive momentum. In FY2024, we expect organic revenue growth in line with our medium-term target of 4% to 6%, and we expect this growth to be weighted toward the second half of the year. Our record order books in John Crane and Detection and our new product pipeline give us confidence in delivering this growth despite the record comparator, a moderating pricing environment and the challenging market conditions facing parts of Flex-Tek and Smiths Interconnect. We also expect to see continued margin expansion in FY2024 as we scale the Smiths Excellence System and at the same time reinvest to support future sustainable growth. With that, I'll hand back to Paul.
Paul Keel: Thank you, Clare. I will now give an update on some of our strategic and operational progress beginning with growth. We build leadership positions in our four main end markets; industrial, safety and security, energy and aerospace. Better accessing the growth available to us in these growth markets has been the biggest contributor to our improved performance over the past couple of years. We generated strong growth in all four of these markets last year. General Industrial is our largest end market and we serve it in John Crane, Flex-Tek and Interconnect. John Crane and Flex-Tek both grew high-single digits with particularly strong demand for John Crane in water and pharmaceuticals and double-digit growth for Flex-Tek in our electric heating business, which is responding to surging demand in an array of energy transition applications. Our U.S. construction business was also up high-single digits, although this business did slow in the second half and we expect this to continue for the early part of FY2024. To be clear though, we expect continued growth in this business in FY2024, just not at the exceptional levels of the past two years. Interconnect posted low single-digit growth in industrial as good performance in connectors was offset by contraction in semicon. Semiconductor down cycle is expected to continue into fiscal 2024 and as such, our testing business, which represents about 3% of group sales, is also likely to contract during this period. Safety & Security markets grew 7% last year while we grew 12% led by Smiths Detection, which was up over 16%. Our Aviation Security business had a great year and adjacent security markets, as Clare mentioned, like ports and borders and defense were even stronger. Looking forward to FY2024, we expect another good year for Smiths Detection, especially in the second half when some of our largest orders will be delivered. Energy, our fastest growing market at nearly 20% and we saw fantastic traction in John Crane for both traditional and green energy applications, and we expect continued strong growth across fiscal 2024. Aerospace markets grew by nearly 14% propelled by upswings in the commercial aircraft segment. We built important positions in both Flex-Tek and Interconnect, delivering 11% growth across the two. Flex-Tek strong growth was supported by aircraft builds offset by Smiths Interconnect, which contracted marginally due to customer specific delays in some space-related projects. As with Energy and Security, we expect aerospace demand to remain strong across fiscal 2024. Innovation has long been the lifeblood of Smiths and improved new product performance has contributed meaningfully to our accelerating growth. We generated over 300 basis points of growth from new products launched in the last 12 months, and nearly a third of our revenue now comes from products that didn't exist five years ago. We focus our R&D on helping our customers access their biggest opportunities, often centered on the four megatrends you see here. In H1, John Crane won a 100% of the gas seals, couplings and filters for the largest blue hydrogen project in Canada, and in H2, we won the tender for one of the world's biggest offshore carbon capture projects in Malaysia with capacity to remove 3 million tons of CO2 from the atmosphere each year. This is the rough equivalent of taking 700,000 cars off the road. Moving counterclockwise, Smiths involvement in India's historic moon landing is an example of our divisions working together to support customer needs. In August, India became the fourth nation to successfully land a spacecraft on the moon and the first to do so on the previously unexplored South Pole. Interconnect provided the space qualified components; John Crane, the filters; and Flex-Tek, supplied mission critical components for the fluid handling system. Smiths has a long history of participating in pioneering missions. Other recent examples include the NASA DART mission, the landmark Solar Probe, and the Mars Rover. To address ever-rising security needs, the world is now rapidly transitioning from traditional x-rays to CT scanning for carry-on bags. CT scanners which do not require removal of liquids or laptops provide enhanced capabilities for airports and a more enjoyable experience for passengers. We have now sold over 1,000 of our CTiX checkpoint systems representing significant market share. Also in Detection, we've had very strong order intake in defense, including for the U.S DoD on their next generation chemical detector program. Lastly, in the top right, we previously described our partnership with Midrex Technologies and H2 Green Steel and have now booked the first £8 million of revenue from our £45 million contract. As Clare touched on in her comments, in a high margin, high return business like ours, the first priority for capital deployment will always be organic. Keeping this in mind, we increased R&D by 6% and CapEx by 14% in fiscal 2023. The second priority for our surplus capital is accretive M&A. And in support of this, we completed a US$30 million bolt-on in Interconnect in January and an $80 million acquisition in Flex-Tek in August. Both deals were completed at accretive multiples and both complement our existing portfolios by accelerating penetration into targeted adjacencies. Heating & Cooling Products enhances our ability to serve customers through an even wider product portfolio and broader geographic reach. HCP also advances our sustainability focus as the deal brings patented ceiling duct technology for enhancing energy efficiency in customer sites. This transaction is similar in many respects, deal size, market focus, operational capabilities to our FY2021 acquisition of Royal Metal, which has had a 30% topline and 40% earnings CAGR under our ownership. I'll now turn to how we are further improving execution across our company. The Smiths Excellence System is fundamental to how we deliver results, develop talent, and advance our culture. We launched the program in earnest about 18 months ago by putting in place 29 full-time Black Belts and Master Black Belts. In our first full-year of the program, SES delivered £14 million of earnings benefits ahead of the £12 million we expected. We now have closed 240 full-time SES resources and with impact scaling quickly, we expect SES contribution to grow to £20 million for fiscal 2024. The importance of SES in building an ever stronger Smiths extends beyond just financial benefits. For example, it's a key program for accelerating talent development across our company, both through the structured rotation for the Black Belts and also the many people now engaged in the 70 or so projects we have completed or that are underway. Still more, SES is foundational to advancing our high performing and inclusive culture. By aligning our global team around a common short list of vital priorities, establishing a consistent operating rhythm and encouraging one another to continually raise our game, SES is very much becoming the way we work at Smiths. To help bring this to life, here is a quick video of a typical SES project. This one focused on improving lead times in our Flex-Tek aerospace business. Let me quickly set the stage. Consistent with the strong aerospace demand I noted earlier, Flex-Tek is seeing a marked increase in orders for aircraft tubing systems. This initially resulted in longer cycle times impacting service to our customers, so we chartered an SES project to expand capacity through process optimization. Let's now hear from Shawn and the team how they define the opportunity, develop solutions, implemented their plan and captured benefits for both customers and for Smiths. [Presentation] This is just one of the many examples of improvements we are making across our company as we further scale SES. I'll now describe how we are further inspiring and empowering our wonderful people specifically with respect to safety, development and engagement. As you know, safety has long been at the top of our priority list and by always looking out for one another, we've built a strong foundation of health and wellbeing. Recordable and lost time incidents are two of our key safety metrics and we made further progress on both. A recordable incident rate of 0.6 puts you in the top quartile of all manufacturing companies globally. Smiths RIR was 0.4 in FY2023. As mentioned, we acquired Royal Metal in FY2021, who had a recordable incident rate above this level. By implementing Smiths safety system at Royal, we reduced incidents in that business by 80%. Helping our colleagues reach their full potential, we launched our Accelerate Leadership Development program in FY2023 and have now trained our first 300 leaders. To further enable a high performing culture, we’ve continued to embed the Smiths leadership behaviors throughout our organization, having completed nearly a 100 workshops involving 1,600 colleagues. Recognizing the vital role that our communities play in our success, we launched the Smiths Foundation in June with an initial commitment of £10 million focused on charitable causes that aligned with our purpose. In parallel, we expanded a successful volunteering program globally with the goal of every employee committing one day per year to volunteering in their communities where we live and work. To bring all of this to life, here's an example of one of the many initiatives currently underway. [Presentation] Thank you, Angel and team, energizing and important work. In summary, our focus on safety, development and community involvement have all contributed to high employee engagement, reflected in a reduction of employee turnover of over 300 basis points across the company, and a 400 basis point reduction amongst our engineering teams. Having shared an update on our growth, execution and people strategies, I'll now turn to sustainability, which underpins all three. Sustainability enhances our growth in a number of ways, including the green technology solutions we provide to our customers. I mentioned some examples earlier. For instance, John Crane support a several of the world's largest energy transition projects. On the same theme, we were recently awarded a £1 million grant from the UK Department of Energy to further develop our high pressure seal platform that is used in a variety of green energy applications. We are executing well against our strategy. We published our first sustainability report in Q1 of last year, and the FY2023 report will come out next month. In the second half of last year, we validated our ESG framework through a third-party materiality assessment and then submitted our science-based targets with the SBT initiative. Turning now to people. FY2023 was the first year where both short and long-term incentive compensation was tied directly to delivery of specific ESG commitments. Let's turn to those now. In FY2022, we committed to net zero for Scope’s 1 and 2 by 2040 and Scope 3 by 2050, roughly 75% of non-production employees participate in our annual bonus plan and a 100% of senior leadership participate in LTIP. Both programs now include specific ESG performance metrics that underpin delivery of the net zero commitments that I just described. Now to get to net zero by 2040, we'll need to reduce our greenhouse gas emissions by 5% of current levels every year. With a 12% reduction in FY2023, we are ahead of this pace. We continue to make progress on our other metrics as well with a 7 percentage point increase in renewable energy, an 8% improvement in energy efficiency, 10 points down in non-recyclable waste, and a 13 point reduction in water usage. You can find further detail on these and other key ESG metrics in our upcoming sustainability report, and I'll take a moment now to touch on three examples of how we are moving all of this forward. Moving from left to right. Component recycling is an important piece of product lifecycle management, particularly in Smiths Detection. This includes refurbishing components rather than replacing with new parts, resale of rebuilt machines, and responsible decommissioning to reuse parts wherever possible. Not only does this minimize environmental impact, it also helps smooth supply shortages such as those we all work through following COVID. In the center of the slide, you see an example of one of our renewable energy projects. Last year, we invested £400,000 to install around 2,000 solar panels in one of our manufacturing sites in Malaysia. This is expected to generate over 1,000 megawatt hours in its first year of operation, roughly 20% of the site's total usage. The right side of the slide describes our simple, but effective group-wide turn-it-off campaign, technologies like LED bulbs, motion sensing fixtures, programmable temperature controls, all contributed to an 8% improvement in energy efficiency in FY2023. To wrap things up, that provides a brief update on some of the many strategic and operational activities that underpin the performance Clare walked us through earlier. FY2023 was a record year for Smiths, record organic revenue growth of 12% yielding record EPS growth of nearly 40%. FY2023 was a year of much improved execution as we delivered year-over-year gains in all five of our medium-term financial commitments. In addition to the growth and EPS figures that I just mentioned, we expanded margins by 20 basis points, ROCE by a 150 basis points and operating cash conversion by 600 basis points and FY2023 was a great year for our people. Safety, development, engagement were all up, while turnover and environmental impact were helpfully lower. And with all this momentum, we are well positioned for another good year of progress and performance here in fiscal 2024, expecting 4% to 6% organic revenue growth and continued margin expansion with SES scaling alongside further investment in sustained growth. Our continued progress is made possible by my 15,000 talented, committed and capable colleagues around the world. I applaud and thank you for all we are accomplishing together. In the same way, we are grateful for the strong support we enjoy from our customers, communities and shareholders. And with that, I'll ask the operator to please open the Q&A.
Operator: [Operator Instructions] We will now take the first question. One moment please. It comes from the line of Christian Hinderaker from Goldman Sachs. Please go ahead.
Christian Hinderaker: Yes. Good morning, Paul, Clare. Thanks for the questions and the presentation. I want to start with – you've signaled the order growth of 6.7% for your 2023 and set out a fairly constructive stance on organic growth for next year. Just want to think about the building blocks here and in particular, I'd be keen to understand how much of the growth in your 4% to 6% guidance can be [thought of] as supported by the existing backlog and whether you have much, if any, exposure towards the ebb and flow of your customers adjusting their inventories? I'll stop there.
Paul Keel: So let's see. Christian, thanks for the question. There were a couple pieces of it. The first was how much of the 4% to 6% is supported by existing orders? And then your second question is whether we have exposure to destocking. So let me take the two in turn. We have order coverage in three of our businesses. We track it in John Crane and Detection and in the aerospace part of Flex-Tek. All three of those businesses have very strong order books. Certainly in the case of Crane and Detection, record order books. And book-to-bill is very strong in those three. So those businesses, we feel confident in continued growth across fiscal 2024. We have a small portion of our business that is – does go through distribution. The vast majority is [made to] order, but parts of Flex-Tek on the HVAC side and parts of Interconnect on the connector side do go through distribution. I would say the Flex-Tek side, you shouldn't expect a big destocking impact. That market was so hot for so long that the channel never had an opportunity to build inventory. I think you should expect a destocking impact though in Interconnect both connectors and I’ve should have added semicon to that as well. So I think you'll see a sharper reaction in the first half in both of those businesses. And then as semiconductor and connectors return to growth in the second half of our fiscal year, you'd see the opposite. You'd see an amplified effect as inventories are rebuilt.
Christian Hinderaker: Thank you, Paul. Maybe one for Clare, but I'll let you decide of course. And you talked about pricing as an offset to inflation, but I think also talked about moderating pricing as we moved into the second half. Does your new guidance include expectations for further price increases to come? How much of that is then tied to the new product development pipeline that you've discussed? And what extent? Do you have any indexation clauses that might mean that you have a pasture of lower roadmap costs in 2024?
Clare Scherrer: So this year pricing exceeded cost inflation by 40 bps. One of the reasons we're able to deliver that type of pricing is because of the problems that our products solve for our customers. So we're really able to price for the value that we create. When we gave our guidance for next year, we took into account a moderating pricing environment, but that's because we believe that the inflationary environment is settling down. And we're confident though that we're going to be able to continue to offset any inflation that we see next year with continued pricing. We do have some indexation across parts of our business and that gives us further comfort with our – comfort in continuing to offset inflation next year.
Christian Hinderaker: Thank you, Clare. Maybe finally on capital allocation priorities, I guess the organic investments clearly benefiting you in terms of new product introductions, but inclusive of the HCP business, I think you've now committed more than 520 million of capital at around nine businesses in the past six years. There's obviously been the exit from Medical as well, so a fair degree of change in the portfolio. Where do you see as the most exciting M&A opportunities on the inorganic side? And are there any areas where you feel you could improve the offering through portfolio change? Thank you.
Clare Scherrer: Well, I'd remind you that job number one for us is to grow cash flow. And there we're pointed in the right direction with strong operating cash conversion this year of 86%. And then Christian, like you said, we need to decide the prioritization for investment and priority number one, because we have such a high margin and high return business is organic. You heard about us increasing R&D by 6% this year, increasing our CapEx by 14%. And the results of that investment in growth are evident, given nine consistent quarters of growth and the record growth that we just announced. So that continues to be our first priority, as you said. A second priority is investment in accretive acquisitions. We have a great track record in doing this and we did spend £90 million on two acquisitions, one just last month for Flex-Tek and one earlier in the year that will compliment Interconnect. We continue to look at acquisitions actively, but we're going to continue to be disciplined because what has worked really well for us is looking for additions that add to our technology, our capabilities, our geography, our people, and also adjacencies. And so we plan to continue that approach going forward. And then lastly, as you mentioned, our track record speaks for itself in returning surplus capital, having returned a £1 billion to shareholders through the progressive dividend and buyback over the last two years.
Christian Hinderaker: That's it from me. Thank you very much.
Operator: Thank you. We will now take the next question coming from the line of [indiscernible] JPMorgan. Please go ahead.
Unidentified Analyst: Hi, there. Thanks for taking my questions. The first is on new products. So just 300 basis points of growth for new products, it’s pretty impressive. I guess, is there a mix impact there in a sense that a higher margin [indiscernible] or even lower margin given you're often sort of breaking into new end markets or new customers? And then do you think that sort of number is sort of applicable again going forward?
Paul Keel: Hi [indiscernible], thanks for the question. Yes, new products are a big piece of the story. We mentioned on the call that a third of our revenues now come from products introduced in the last five years, and we had three full points of growth from products just introduced in the past 12 months. So we're going to continue to fuel that engine. With respect to margins, on average, a new product will have higher gross margins than a legacy product typically for two reasons. One is it has some technical advantage that the product it's replacing doesn't have. And then the second is there's a newness factor to it. So good examples. The new products related to our energy transition program, those all tend to be pretty good margin products. And you should expect that to continue moving forward. The one, I guess balancing thought related to it is in Crane and Detection. Those new products are often original equipment, which as you know, will have a narrower gross margin than the aftermarket that comes with it. So that would be another thought to add to the mix.
Unidentified Analyst: Okay. Very clear. Thank you. And then on mix, obviously, helpful bridge [in terms of] 100 basis point headwinds to margins. How should we think about that across the two relevant divisions? So Flex-Tek and Detection going into 2024 in terms of sort of the early aftermarket balance, I guess, particularly in Detection?
Paul Keel: So there is three pieces to the puzzle here. So the first is the very strong OE growth both in Crane and Detection, but in particular in Detection. We'll now convert to stronger aftermarket revenues that go with that. On average, you'll get 10 years of service for an OE sale in Detection, you can get up to 30, 40 years of aftermarket service in John Crane. So you'll see a natural margin enhancement as the OE converts to aftermarket. The second thing to think about is the margin impact category-by-category. We had very strong growth in our aerospace business last year in Flex-Tek that tends to be margin accretive to some of the HVAC products. We did have a negative margin impact, some of our HVAC products in particular, the tubing has a higher margin than the ducting and the ducting business, as we mentioned that's Royal Metal and HCP, very, very strong growth. So that impacted us in 2023. We expect that to correct over time. And then the third piece, margin related would be geographic. We tend to have pretty good margins around the world, but in particular, margins are strong right now in where Crane is growing the fastest. So we think Crane has a tailwind from that respect moving across 2024.
Unidentified Analyst: Okay. Thank you. And then just last one for me just on capital allocation as well, actually, just in terms of the balance sheet. Obviously, – in really strong shape, just finished the last buyback, I guess. Is there any sort of discussion on whether that'd be another one or if that's even on the agenda?
Clare Scherrer: Our priority for capital allocation is organic first, accretive M&A second. And then we have a strong track record of returning excess capital through our progressive dividend and buyback. But we're going to continue to prioritize our capital allocation in that way.
Unidentified Analyst: Okay. Thank you very much.
Operator: Thank you. We will now take the next question from the line of George Featherstone from Bank of America. Please go ahead.
George Featherstone: Good morning, everyone. Thanks for taking the questions. First one would be on Interconnect and just the margin outlook there. So you've already seen some pressure on margins, but topline pressure set to continue for this fiscal year. So I just wondered if you could help us understand what you expect, maybe the impact from destocking would be on the margins for Interconnect this year?
Paul Keel: Yes. With respect to margins, as you know there are up a 100 basis points now in two years, and there's a couple of structural reasons that you should expect that to continue. And we've touched on some of them. The first is a portfolio impact. John Crane, big numbers, about 35% of the portfolio, Detection and Flex are each about 25% and Interconnect is 15%. Two of our businesses, Flex-Tek and John Crane are now in or above the 18% to 20% range in our medium-term guidance. You should expect that to continue. Interconnect was in that range last year, and as semiconductor comes back, you should expect them to return to it. So that's three quarters of the portfolio. The margin dilutive currently business is Detection. It's at 11%. As you know, pre-COVID, that was a mid-teens margin business, and we expect it to return to those levels as it replaces the 20% of revenue that went away during COVID and then has the benefit from the aftermarket service converting on the OE that we just talked about. So that's a portfolio impact. The second impact related to margins are the economies of scale that naturally come with a business like ours. You saw we had 90 basis points of margin accretion in fiscal 2023 from greater volume. So that happens as we continue to grow the business. And then the second is that aftermarket effect. We've touched on now a couple of times. Now, 1.5x to 2x higher gross margins in John Crane from aftermarket, 2x to 2.5x higher gross margins in Detection. As long as we continue to grow and as Clare described, we're confident in the four to six for fiscal 2024, you should expect continued margin expansion going along with that.
George Featherstone: Thanks for the color. I wonder if you just focus a little bit on Interconnect though, because clearly the margins there have taken quite a step back in the half year at the end of 2023. So just trying to understand, given the topline pressure, should we expect you to be able to keep the margin at this level or could it take a further step down before it recovers along with that semiconductor market recovery that you've been talking about?
Paul Keel: The primary effect you saw this year on margins in Interconnect was the declining revenue. So it's a 3% revenue contraction. We have good gross margins across all of their three main businesses; connectors, fiber optics for aerospace and semiconductor tests. As the volume comes back these are highly predictable markets. The semiconductor cycle has looked about the same the last five cycles. So when those come back, you should expect margin to return.
George Featherstone: Okay. Very clear. Thank you. Then if possible just to touch on John Crane and the order outlook in the Energy segment, just about everywhere that I seem to read at the minute, there's very, very good demand in traditional energy. So just wondered how sustainable is this? What have customers been saying in that John Crane business?
Paul Keel: Yes. I would say, Crane, certainly your comment is accurate that order demand in traditional energy is strong. But remember, Crane does a lot of things. They do traditional energy, they do green energy, and then they have a pretty good size industrial business. And almost 40% of that business now is outside of energy. And demand is strong across all three of those categories. So specific to traditional energy, that also tends to have a fairly predictable cycle, tends to be a multi-year cycle. And we're maybe two into the upswing. So I think you have reason to believe the traditional side will continue. On the green energy, energy transition that's going to be a multi-decade growth. You pick your number for net zero 2040, 2050, but the world is going to invest a $100 trillion over the next 30 years. So that is a secular tailwind. The industrial piece of the business, the 40% I mentioned. If you walk through life sciences or pharmaceuticals, those tend to be pretty stable growers for us. We see a little more volatility on the paper side. And then water right now is another sort of secularly growing category for the world. So – and we feel good about John Crane.
George Featherstone: Very clear. Thank you. Final question for me just on free cash flow conversion or cash flow conversion. Do you think this is the year that you get back to over a 100% or do we expect maybe a little bit longer for that?
Clare Scherrer: Well, we already took a step forward in our operating cash conversion at 86%, stepping up from 63% at the half, and that reflects a balanced approach, firstly, leaning in and underpinning growth in our order book through inventory. And we always will lean into growth. And it also balances then a disciplined approach with working capital. So already progressing our cash conversion. And we do expect next year we will make further progress and we've demonstrated over the medium-term, we can consistently convert a 100%.
Paul Keel: George, when this model works really well is when you get accelerating growth through the mid-teens margins and return on capital, and then it throws off even stronger leverage in cash flow. And fiscal 2023 was really a brilliant example of that. 12% organic topline growth, yielded 13% organic profit growth, slide to 37% free cash flow growth. So as we continue to grow in that 4% to 6% range that we're working towards in the medium-term, it will continue to generate a lot of cash.
George Featherstone: Understood. Thank you very much.
Operator: Thank you. [Operator Instructions] We will now take the next question from the line of Mark Davies Jones from Stifel. Please go ahead.
Mark Jones: Thank you. Good morning, Paul. Good morning, Clare. If I can go back to Detection and ask question around mix and phasing. As I recall, there's a gap of a year or so from OE deliveries to when the service revenue kicks in. Is that roughly right in terms of looking forward to when you might see that AM kick-in on that side of the business? And then you talked about it being a backend loaded this year. From a prior painful experience of Detection, sometimes the delivery timetables tend to slip. How confident are you in the phasing of what is obviously a very healthy backlog? Is there any risk – some of this slips into the next year as it were?
Paul Keel: Yes. Let's see. Let me take the two parts of your question Mark. So first I think what we might've said before is there can be a lag between receiving the order and when the unit goes into service, that can be one to three years. Typically once the unit is into service, maintenance begins, preventative maintenance begins very soon thereafter. So you'll see that aftermarket effect from the big OE growth. You should already see it here in fiscal 2024. Second question, how confident are we in Detection? I would say we're very confident in the order book. That tends to be a programmatic business. So when you get big orders like, we're currently upgrading all the checkpoint scanners at Heathrow, period by period when those units go into service and we recognize the revenue that can lead to, as you know, volatility in the reported revenue growth. So we can see our order book and we know that some of those bigger orders are likely to go into service in the second half. And that's why we guided to say expect even stronger growth from Detection in the second half versus the first.
Mark Jones: Okay, fine. And I mean, the longer term strategy to reduce the volatility in that business to grow the non-aerospace side, but that's obviously – it's coming through strongly, but mix wise, aero is still [carrying a lot of the territories], so that's going to be a long-term project presumably?
Paul Keel: So you're right. That is exactly the strategy. We love our aviation security business. We have the largest market share, the best technology. We're in 80% of the world's largest airports. And that typically pays for the new product investment to develop the next category of detection technologies. We then try to point those at other markets both to balance the revenue streams, but in some cases, they tend to be even higher margin businesses. So you saw last year as strong as our aviation business was, it was even stronger in other security systems, better than 50% OE growth in OSS is really an encouraging number.
Clare Scherrer: And I would add to that. Mark, I'm sure you saw this morning and you heard me mention the DoD award. So just this morning, the Department of Defense announced that we're the sole awardee for their Lightweight Chemical Detector program that won't be material to FY2024 as it'll just be an initial low rate production. But that's a very important win for us, which further adds to your point about diversifying outside of aviation.
Mark Jones: Thank you very much.
Operator: Thank you. There are no further questions at this time. I would like to hand back over to the speakers for final remarks.
Paul Keel: Okay. Well, thanks everybody for tuning in. As you saw, we're very pleased with the performance and the progress we made in fiscal 2023. Our strategy is to continually accelerate growth to run that through our high value model to generate incremental earnings and cash flow, reinvest that back into new technology and to our people. And as you can see from the results from 2023, we're making good progress in that direction. So expect more of the same for fiscal 2024, 4% to 6% organic revenue growth and continued margin expansion. Thanks for tuning in.